Operator: Good afternoon everyone and thank you for joining us to discuss FalconStor Software's Q1 2020 earnings. Todd Brooks, FalconStor's Chief Executive Officer and Brad Wolfe, Chief Financial Officer will discuss the company's results and activities and we will open the call to your questions. The company would like to advise all participants that today's discussion may contain, what some consider, forward-looking statements. These forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from the forward-looking statements. These risks and uncertainties are discussed in FalconStor's reports on forms 10-K, 10-Q and other reports filed with the Securities and Exchange Commission and in the company's press release issued today. During today's call, there will be discussions that include non-GAAP results. A reconciliation of the non-GAAP results to GAAP has been posted on FalconStor's website at www.falconstor.com under Investor Relations. After the close of business today, FalconStor released its Q1 2020 earnings. Copies of the earnings release and supplemental financial information are available on FalconStor's website at www.falconstor.com. I am now pleased to turn the call over to Todd Brooks.
Todd Brooks: All right. Thank you Clark. I appreciate that. And also I would like to thank everyone for taking your time today to participate in our call. As we reviewed during our last earnings call, we implemented four key strategic initiatives in 2019 and given the positive momentum we created in 2019, we carried these same four initiatives into 2020. And these are, first, generating consistent growth by expanding our industry-leading long term archive retention and reinstatement product line and by creating new, flexible and extensible data storage innovations that we believe will drive our growth over the next decade. Then second on increasing our commercial investment and focus to regions where we have demonstrated growth and the ability to win. Then third, sharpening our commercial and R&D focus related to our business continuity driven data replication products to ensure we are focused on those areas or in those cases and use cases which are important to our largest and most strategic enterprise customers. And then finally on delivering consistent profitability and operating cash flow positive operations. Our products are pointed at a market that's reported by IDC to be sized at approximately $10.7 billion and predicted to grow at a compounded annual growth rate of 14.7% through 2022. This growth is being driven by three factors. First, an explosion in the amount of data generated by various digital technologies, whether that is in the form of traditional email, documents, application databases, digital audio and video or Internet connected devices. Second, the dramatic increase in data storage options, whether they be located in a traditional data center, private cloud or a public cloud. And then finally, the ever expanding need to retain data for lengthy periods of time to ensure legal and regulatory compliance. This dramatic growth in the capacity of data captured and stored is driving the need for enterprises to cost effectively, securely and intelligently manage this data. In fact, according to the IDC, up to 75% of data managed by an enterprise is directly related to routine data archives. Our technology allows an enterprise to leverage existing archive policies and procedures, while ensuring the most stringent archive windows are met, data storage capacity is reduced by 95% or up to 95% and cloud storage alternatives such as the Wasabi, AWS, the types of content platform or HCP and IBM's cloud object storage are available for improved data storage efficiency. I am excited by this market and the business value that we at FalconStor deliver to our complex enterprise customers. For the balance of this call, we will elaborate on each of these four key strategic initiatives, provide a detailed review of Q1 financial results and discuss the COVID-19 pandemic impacts that we have experienced. Finally, we will open the phone lines for any questions you may have and if you would like to ask the question, we ask that you use the question dialogue area within webinar panel to enter your question. And then when we open the line, we will call on you to ask your question live. All right. So let's discuss the COVID-19 pandemic impacts that we have seen. Certainly, the pandemic has been at the top of our minds as our thoughts go out to everyone that's been impacted by its spread. The safety of our employees has been a top FalconStor priority as is ensuring we are prepared to commercially survive a worst-case disruption, which can extend into late 2020. The internal operating improvements that we made during the past two years allowed the majority of our global workforce to work from home beginning in late February 2020 without any significant distraction. However, during the quarter, our results were materially impacted as Q1 revenue declined by 29% to $3.2 million compared to $4.5 million in Q1 of 2019. In addition, our Q1 non-GAAP operating income decreased to a loss of $112,000 compared to a non-GAAP operating income of $395,000 in Q1 of 2019. Deep insights into the Q1 sales opportunities that were delayed in the quarter point to the Q1 revenue decrease as being a COVID-19 initiated delay in both renewals and new deal closings as opposed to a fundamental shift in the demand for FalconStor's products. in fact, as further evidence of this insight, April 2020 sales, which we just concluded, have returned to a normal level, including the closing of several Q1 renewals that were delayed into April and several new VTL wins with new FalconStor customers. However, despite our positive April sales results, we are assuming that the next six months will continue to produce revenue challenges as enterprises around the globe continue to deal with their own commercial impacts due to COVID-19. Given our cost reduction efforts that we executed in 2019, total non-GAAP, I should say, operating expenses for Q1 of 2020 decreased to $2.3 million [sic -- see press release] compared to $4.1 million in Q1 of 2019. In addition, given the commercial uncertainty caused by COVID-19, we developed and implemented an even more aggressive expense control plan at the end of Q1 that we are prepared to keep in place for the balance of 2020. This plan reduces our annual cash expense run rate by $4 million or a 29% reduction. We believe the reduced expense level will enable FalconStor to operate cash flow positive for the remainder of 2020, even with continued revenue challenges throughout the year. Despite our planning assumption that revenues will continue to negatively impacted during the next few quarters, our global team is absolutely engaged and I am proud of how they have managed themselves and how they continue to diligently work to maintain the commercial momentum that we gained in 2019. Beyond the favorable results that the team delivered in April, we also launched our newest long term archive retention and reinstatement product called StorSafe and will begin installing with several existing customers during Q2. Industry feedback on the product launch has been especially encouraging. So we are excited about that. So for the balance of 2020, we will continue to proactively manage our business and any impacts caused by the COVID-19 pandemic. Our four key initiatives of long term archive product growth, targeted commercial investments, sharpened R&D focus and delivery of consistent profitability and cash flow positive operations will continue to guide our daily efforts. Our products are utilized by enterprises and managed service providers across the globe and address two key areas of enterprise data protection, long term archive retention and reinstatement and then business continuity driven data replication. Our products are software defined, which means that our technology allows our solutions to be hardware, cloud and sourced data agnostic, giving our customers maximum leverage of existing hardware and software investments. Our innovative integration into modern cloud-based technologies enables our customers to dramatically improve the portability, security and the sensibility of their enterprise data. This sensibility is key in our modern world where data is not only protected, but also intelligently leveraged to facilitate learning, improved product design and drive competitive advantage. Within the long term archive retention and reinstatement segment, we have traditionally sold our FalconStor virtual tape library or VTL solution. However, I am excited to announce that we have launched our next-generation long term archive product called StorSafe. We will cover little bit more on that here in a minute. Both of these products deliver innovations that enable our enterprise customers to modernize their archive operations and infrastructure and dramatically reduce their archive data storage costs, while improving archive security, portability and accessibility. We have filed patents on these inventions and innovations and believe that we can transform the storage challenges and archive storage and data management. Then within the business continuity driven data replication segment, our core products are our network storage or NSS solution and our continuous data protection or CDP solution. Traditionally, these solutions have been available as standalone products or could be licensed together via our FreeStor platform. These products enable our enterprise customers to achieve superior recovery point and recovery time objectives, while optimizing storage hardware investments through advanced storage virtualization. We will continue to place our focus within these two key product segments for the foreseeable future. So let's take a look at each of these core products in just a bit more detail. We introduced our virtual tape library product in the early 2000s. And we were one of the first software providers to introduce this innovative solution, allowing enterprises to emulate and replace cumbersome legacy physical tape libraries for archive-related data protection without being forced to replace their underlying enterprise backup and archive software and associated processes. Our VTL product continues to be a leading solution in the marketplace and we continually evolve the product solution to meet new demands on usability, scalability and hybrid cloud exploitation. We believe it is unmatched in terms of performance and scalability. With VTL, our enterprise customers are able to complete their data archive operations more reliably with minimal change needed to their legacy archive environment. They also able leverage sophisticated physical tape emulation, advance data security, data deduplication and public or private cloud-based virtual tape archive storage, which are now seamlessly integrated into our solution. We are dedicated to providing our enterprise customers with the highest performing VTL product in the industry. As such, we subject our VTL solution to independent performance testing which has demonstrated that our product is 25% faster than our closest competitor and can be executed on hardware that is one-third the cost of that required by our closest competitor. Beyond allowing our customers to benefit from shared data archive speed, we also enable them to dramatically reduce the amount of data that needs to be archived by processing their archive data through our integrated data deduplication engine. By eliminating redundant archive data, the archive storage capacity then required can be reduced by as much as 95%. Our technology allows our enterprise customers to significantly reduce the cost of storing the ever growing volume of data subject to long term archive data protection mandates, while eliminating hardware and software vendor lock-in. Moving on to StorSafe. Traditionally, enterprises have had limited choice and have been forced to store their archived data on physical tape or within storage arrays installed in an internal datacenter. Our newest and most innovative long term archive data management product StorSafe breaks these traditional storage limitations and enables enterprises to securely and cost-effectively leverage a wide array of storage options including ultra-efficient and scalable cloud-based storage environments. StorSafe, like our proven VTL solution, provides sophisticated physical tape emulation and seamless integration within enterprises' legacy backup and archive software and processes. In addition, StorSafe includes our advanced data deduplication technology. However, StorSafe takes long term archive storage optimization to an entirely new and innovative level by leveraging patent-pending industry standard container technology to enable persistent long term archive storage. Our StorSafe solution is game changing and improving archive data portability, accessibility, security and integrity validation, especially as it relates to multi-cloud data leverage. As a result, a full spectrum of archive data storage options is made available to our enterprise customers to efficiently utilize essentially any storage environment, while confidently ensuring data security and efficient archive access. We have designed StorSafe to significantly reduce long term archive data storage and legal or legally- mandated compliance cost and redefined long term archive storage optimization and accessibility for the next decade. In addition to long term archive data, enterprises routinely maintain short term copies or backups of data generated by various user applications to protect against data loss or natural disaster. Our CDP technology reinvents the way data replication and recovery are implemented and performed. Moving beyond once-a-day backup models, CDP combines local and remote protection into a cost-effective, unified, disc-based solution that allows organizations to recover data back to the most recent transaction. Combining application snapshot agents and continuous journaling functions, CDP enables customers to recover data effectively at any point in time. CDP delivers instant data availability and reliable recovery bringing business applications back online in a matter of minutes after a failure. CDP protects application-specific data for Microsoft, Oracle, SAP and many other leading business applications while ensuring high performance and stability for even the most complex business environments. Finally, the ever expanding capacity of data managed by enterprises creates a continual challenge in ensuring the organization has an adequate amount of available storage. FalconStor NSS is a scalable, highly available solution that enables data storage virtualization and business continuity in heterogeneous environments. Supporting existing third-party disc arrays, NSS eliminates storage boundaries and vendor lock-in providing fast and secure data storage provisioning and migration. NSS is designed to meet the data storage needs of any complex enterprise. Moving data between different data storage platforms can be complex, complicated, time-consuming and disruptive to business operations. Our core storage virtualization technology provides a non-disruptive approach to data mobility. With NSS, it becomes a simple operation to move data from older platforms to newer ones or to introduce new storage capacity in tiers. This allows enterprises to respond to evolving performance and capacity requirements as well as changing data protection mandates. As mentioned earlier, our first key strategic initiative is to expand our industry-leading long term archive retention and reinstatement product line by creating flexible and extensible data storage innovations to drive our growth for the next decade. As part of this initiative, we have expanded our targeted go-to-market path and these now include, first large IBM or large enterprises that continue to use IBM i within one of their key environments but that also use operating systems from other venders such as Windows or Linux. Second then on IBM Protect Tier product replacement. Third, on leveraging the Hitachi Content Platform or HCP. Fourth then on Hitachi Sepaton product replacement. Fifth, Dell EMC data domain replacement and upgrades. And then, finally on legacy tape modernization. These expanded go-to-market path have proven to be effective. While COVID-19 pandemic has certainly created challenges for FalconStor and its partners and customers, I remain very excited by this market and the dedication of our team and the business value that our solutions deliver to our enterprise customers. FalconStor is unique. Our nearly two decades of technology innovation is unmatched by newer entrants in the data protection space and we will continue to build on this advantage. Our customers know that our solutions are powerful, that we provide one of the industry's most comprehensive set of solutions in the space and are actively innovating to deliver capabilities that change the dynamics of archive storage management to the future. And with this, I will turn it over to Brad to provide a more detailed overview of our Q1 financial results. Brad?
Brad Wolfe: Thank you Todd. Despite our efforts to maintain sales momentum amid the unprecedented global outbreak of novel COVID-19 pandemic, we closed the three months ended March 31, 2020, with $3.2 million GAAP revenue, compared with $4.5 million for the same period in the previous year. Our software solutions play a key role in efficiently managing and protecting critical data for businesses around the world and we are confident that as the global economy recovers, our sales momentum will recapture the momentum achieved to our recent sales success. in key strategic markets such as the Americas. As we move forward through the balance of the year, our energy will be concentrated on generating positive cash flow, capital preservation, strategic growth and continued product innovation. GAAP total cost of revenue for the three months ended March 31, 2020, decreased 17% to $0.5 million compared with $0.6 million in the prior year period. Total gross profit decreased $1.2 million or 32% to $2.6 million for the three months ended March 31, 2020, compared with $3.8 million for the prior year period. Total gross margin decreased to 83% for the three months ended March 31, 2020, compared with 86% for the prior year period. The decrease in total gross margin and total gross profit in absolute dollars was -- sorry about that -- was primarily due to the decline in revenue compared to our key primary software license offerings. Generally, our total profit and total gross margins fluctuate based on several factors including revenue growth levels, changes in personnel headcount and related costs and our product offerings and mix of sales. GAAP total operating expenses for Q1 of 2020 were $3 million compared to $3.6 million in Q1 2019. Given the commercial uncertainty in late Q1, we developed and implemented an aggressive expense control plan that we are prepared to keep in place for the balance of 2020. This plan reduced our annual cash expense run rate by $4 million or 29% and resulted in the furlough of 21 employees. We believe the reduced expense level enables FalconStor to remain cash flow positive and profitable during the remainder of 2020, even with continued revenue challenges. During the three months ended March 31, 2020, we reported a GAAP operating loss of $0.4 million compared to GAAP operating income of $0.2 million for the prior year period. After tax, interest expense and preferred dividends, we recorded a GAAP net loss of $1 million for the current quarter compared to a GAAP net loss of $0.5 million for the prior year period. Turning now to the balance sheet. We ended the quarter with cash balance of $1 million compared to $1.5 million at December 31, 2019. Net working capital excluding deferred revenue, contract receivables but including redemption value of our term note ended at $2.8 million deficit. We closed the quarter with $1 million of cash and cash equivalents, accounts receivable of $1.8 million, accounts payable and accrued expenses of $3.2 million and deferred revenue of $6.1 million. In addition, we applied for the Payroll Pension Plan loans from Small Business Ministration and $754,000 in May of 2020. Finally, we believe the financing commitments the company has in place and our aggressive expense control initiatives described above are sufficient for managing the uncertainty surrounding over COVID-19. Todd, I will turn it back over to you for final comments.
Todd Brooks: All right. Brad, thank you very much. In summary, our thoughts remain with everyone as they manage through the unprecedented impacts caused by COVID-19. We will continue to do what is necessary to protect our employees and successfully operate against our key strategic initiatives throughout 2020. So at this time, I will ask Clark to begin the question-and-answer session. Clark?
Operator:
Todd Brooks: All right. Well, once again, folks, thank you very much for taking your time with us today. As I mentioned earlier, I am really excited about the market that we serve. We deliver, our products deliver a significant amount of value to our enterprise customers and they know it. They see it every day. And I think that some of the innovations, especially with our new StorSafe products, are going to be extremely well received into the marketplace and we are looking forward to continuing to execute against our plan and delivering value to our customers. So with that, we are going to close the call,. But once again, I do appreciate your time and attendance today. Thank you.